Operator: Good morning, and welcome to JBT Corporation's Fourth Quarter 2019 Earnings Conference Call. My name is Lindsay, and I will be your conference operator today. .  I will now turn the call over to JBT's VP of Investor Relations, Megan Rattigan, to begin today's conference.
Megan Rattigan: Thank you, Lindsay. Good morning, everyone, and welcome to our fourth quarter and year-end 2019 conference call. With me on the call are Chairman, President and CEO, Tom Giacomini; and our Executive Vice President and CFO, Brian Deck. 
Thomas Giacomini: Thanks, Megan, and good morning. JBT posted solid growth and earnings gains in 2019. Reported earnings per share were ahead 24% compared with 2018, while adjusted EPS expanded 13%. Net income increased 24%, while adjusted EBITDA, which is an important gauge of our performance, grew 15% to $292 million in 2019. We continue to enjoy strong growth at AeroTech.  FoodTech delivered solid growth. FoodTech's fourth quarter order improvement was encouraging but it's too soon to claim a turnaround from the conditions we experienced through most of 2019, with order commitments hurt by trade issues and business uncertainty. That said, as we discussed throughout the year, our restructuring activities, along with the implementation of JBT operating system have enhanced efficiency and profitability.  The three acquisitions we made in 2019 are performing well. Moreover, the continued growth of our aftermarket business has benefited margins and continue to create a more stable and resilient JBT. Looking ahead to 2020, we expect to grow, capture further margin expansion and post a 10% increase in adjusted EBITDA.  I'll turn the call over to Brian to provide more detail on JBT's performance in 2019 and guidance for 2020. Afterwards, I'll talk more about the poultry show, geographic trends, recent acquisitions and the strength of our recurring revenue stream.
Brian Deck: Thanks, Tom, and good morning, everyone. As our release provided a detailed breakdown of revenue growth, let me jump into an analysis of performance and trends for the year. Even in an environment hurt by trade and business uncertainty, FoodTech's 2019 organic growth was 1%. At the same time, we delivered an 8% growth contribution from acquisitions, and we expanded FoodTech profitability, with segment operating profit margins of 140 basis points and adjusted EBITDA margins up 270 basis points to 19.3%. FoodTech's fourth quarter margins were down slightly year-over-year due to higher incentive compensation expense and product mix. 
Thomas Giacomini: Thanks, Brian. As many of you know, we recently attended the 2020 International Production and Processing Expo, otherwise known as the poultry show. While the total customer enthusiasm was not as upbeat as the 2018 show, it was more optimistic than in 2019. Potential export market improvement with the lifting of China's restriction on U.S. poultry should bolster industry prospects.  Speaking of China, with the outbreak of the coronavirus, the health and safety of our employees in the region is of utmost importance and we're actively working to mitigate risk. We are also concerned about the potential impact of coronavirus as supply chain and general business disruptions could be a headwind for JBT. We recently sought feedback from a number of customers in the region. The feedback had indicated that planned investments for 2020 were still moving forward, although at a slower pace, given current difficulties interfacing with end customers in China. If the trajectory of the virus was to worsen, these planned investments in 2020 could be delayed into the subsequent year. Longer term, this situation is likely to accelerate China's adoption of modern and safe food processing practices, increasing opportunities for JBT. 
Operator: . Our first question comes from Mig Dobre with R.W. Baird.
Joseph Grabowski: It's Joe Grabowski on for Mig this morning. So if you're assuming negative mid-single-digit organic growth in FoodTech in the first half, I guess sort of mathematically, you're assuming positive mid-single-digit in the second half. Is that mostly just a function of easier comparisons in the second half? You mentioned forecasted order trends. What are you seeing in the second half? Are you expecting underlying demand to improve? Or again, is it just sort of the easy comparisons?
Thomas Giacomini: I would say it's more about the trajectory of the orders. We had some challenging order conditions in the back half of 2019, second and third quarter in particular, and we see some mild improvement through this year that will allow us to recover that organic growth rate in the back half of the year. And that's kind of what we talked about in terms of our view of the business on the last call also.
Joseph Grabowski: Is it a function of the orders you saw in the fourth quarter? Or orders that you're expecting in the first half that will convert to shipments in the second half?
Thomas Giacomini: Sure. It's certainly -- the fourth quarter was a benefit to help us get a start on the year but we expect to book some solid orders in the front half of 2020 also.
Joseph Grabowski: Great. Okay. And then I guess my follow-up question, the $20 million of restructuring savings, incremental restructuring savings expected in 2020, how do those sort of flow by quarter? And can you just confirm, are all of the $20 million incremental savings in FoodTech?
Brian Deck: So of the $20 million, it's -- there's still a decent amount for AeroTech, fairly comparable to the  revenue between Food and Aero. You'll see a little bit more savings in the front half, mainly because we have some success in the back half of the year with the savings coming in and those -- and the success of those programs on a comparable basis will effectively be in the numbers by Q2, maybe into Q3.
Operator: Our next question comes from George Godfrey with CL King.
George Godfrey: I wanted to -- we spend a lot of time on FoodTech, but I wanted to sort of talk about the AeroTech for a second there, Tom. The growth rate or the organic growth rate would be still a good number here in 2020. But obviously, it's been coming down. Do you get the sense that we're on the infrastructure build-out that came out of the post-financial crisis has been completed and now each year, the organic growth is going to trend more to a global GDP like growth in the mid-teen digit growth that is probably behind us?
Thomas Giacomini: Sure. I would say, George, it's more around -- we've had some nice recovery in our AeroTech business, which has helped provide those outsized growth rates in the prior years. I still see a number of years of continuing infrastructure investment. You can see it in the airports around you, so that will continue to propel us.  The other two elements of AeroTech, the mobile, that tends to be a shorter book and ship type of business. We've enjoyed some particular strength, particularly as a benefit of e-commerce. But there's been a bit of a headwind in the back half of last year and into this year that we're seeing just in terms of material flow by air being a bit slower. And certainly, the coronavirus situation doesn't help that right now. And then the military, which we continue to invest in really groundbreaking technologies that have great financial performance and that franchise continues to build. So overall, I would say we continue to be quite optimistic about AeroTech and it's just some -- following a couple of years of really outside growth, it gets to be tough to start lapping those comparables. But it's a great franchise and we certainly enjoy owning that and having that part of our business.
George Godfrey: Understood. And just a follow-up, that you enjoy owning that, is that -- is the strategic fit for the activity level on maybe looking at selling or divesting that business? Is that pretty cold right now? Or is there activity? There's always ongoing discussion. Can you just quantify on where you see the next 3 to 5 years for JBT FoodTech versus AeroTech and how the company is constructed?
Thomas Giacomini: Sure. We did quite a bit of work on understanding and we always look at our portfolio and the work we've done this last year, George has told us that the greatest creation for our shareholders is AeroTech being part of our portfolio and we're optimistic and bullish about that, and moving forward as we talked about into 2020 with AeroTech as part of JBT. And we're looking forward to having it continue to be a value-creating part of our offering.
Operator: Our next question comes from Andrew Obin with Bank of America.
David Ridley-Lane: This is David Ridley-Lane on for Andrew Obin. Wondering how your M&A pipeline looks for 2020. Are prospective sellers less willing to come to the table given market conditions?
Thomas Giacomini: Sure. As you know at JBT, we have a very disciplined and active M&A program that we continue working at, at every quarter and every year. We continue to see a rich pipeline and strategic additions to the JBT franchise that really allow us to provide more comprehensive and value-creating solutions for our customers. As we look at the sense of the pipeline, I haven't noticed a retreat of willingness of the people we're talking to, to engage in those meaningful conversations. And I would say from JBT's perspective, we're also being thoughtful about how we think about valuations and how the businesses will perform post acquisition. And in my earlier comments, we continue to see an ability for JBT to do M&A through the cycle and create value.  I will say we have expectations, as Brian mentioned, to generate a significant amount of cash in 2020. So we certainly have the ability to complete some nice M&A this year without having the need to increase our leverage. And we obviously have capacity beyond that but we're in a good position. We remain disciplined and we're always actively working that pipeline.
David Ridley-Lane: Okay. And just following on that cash comment, thank you for the color on fourth quarter free cash flow. Should we think of that -- the $15 million or so working capital shortfall really showing up next year? Or does not all of that show up next year?
Brian Deck: Right. So we do expect some improvement in the working capital performance in 2020, particularly on the inventory side as we use our JBT operating system tools to better problem solve and work through that. So I do see our inventory performing better. And when you look at our accounts receivable, that's going to be more of a function of the growth of the business. So there could be, depending on the growth, it could be a use of cash. And I do see on the customer deposit side, if we do indeed see some benefits of improving orders, we would see a benefit there as well.
David Ridley-Lane: Okay. And if I could squeeze in one last one, what does your 2020 guidance imply for aftermarket revenue mix in FoodTech? I know that was very strong in 2019, do you -- does guidance contemplate perhaps some of that returning to more normalized levels?
Brian Deck: Right. So as you know, the second and third quarters were particularly strong on the mix, third -- fourth quarter was a little bit more heavy on the equipment side versus those prior quarters. I would say we're expecting to go a little bit more back to a normalized rate in 2020. I would say it was a little heavy on the aftermarket side in 2019. That was a little bit more normalization next year.
Operator: Our next question comes from Steve Tusa with JP Morgan.
Steve Tusa: Maybe if we could start off on free cash flow. Can you guys bridge us from 2019 to 2020, the $83 million to the $160 million? I know adjusted EBITDA goes up $30 million-ish. Just wanted to kind of bridge to the rest of the improvement. I assume restructuring is a part of it and working capital. But if you could help us bridge that, that would be helpful.
Brian Deck: Sure. So as a starting point, as you mentioned, with our net income, starting at the top of that cash flow statement in the, call it the low to mid 160s based on our guidance, that's somewhere in the range of $30 million, $35 million pickup, just to start in dollars. And then, just as a reminder in 2019, we had $15 million of restructuring cash that was expensed in 2018 but paid in 2019. So there's another $15 million on top of that. And then as I mentioned, I do think our inventory will be a source of cash in 2020. And -- but I do think -- and I think the deposits will also be a source of cash for the year. So we add all those things up, you're looking at something north of the $160 million of net income turning into cash flow.
Steve Tusa: Okay, got it. So it's a combination of those things. Makes sense. Maybe switching gears on FoodTech margins in the fourth quarter. What -- why were they -- I think they were down year-over-year. Just curious it seems a little bit lower than expected. What drove the variance?
Brian Deck: Sure. There's two things. One, there was a decent amount of incentive compensation as we true-up all those accruals for the year. Obviously, we had a would take a really nice year this year, profitability. And if you look at Q4 of last year, you kind of had the opposite effect. So there's kind of a double whammy pickup there. But also, similarly in terms of impact, we did have, I would say in the quarter, more of an equipment heavier mix versus the Q4 of last year. And then I would even say within the equipment, we had some decent-sized orders that were a little bit lower margin within that mix. But overall, with the restructuring benefits, et cetera, we're looking at another 100 basis points of margin expansion for FoodTech next year. So we think we're well on pace with our Elevate strategy that we've outlined.
Steve Tusa: Got it. And maybe also, last one for me on the M&A cost, so what would be like the types of M&A costs you guys report in corporate?
Brian Deck: Sure. So we do have M&A costs in both the business units and in the -- and in corporate. So typically, if it's, I'll call it a more business unit sponsored deal, they'll have their expenses as well as all the inventory step-up ends up in the business units and the other transaction and integration expenses. At corporate, we mostly house all the diligence expenses. So we do outsource our financial due diligence. That's a big one, typically, all of the attorney costs tend to be at corporate. And then sometimes we'll do third-party market studies that would also be at corporate. So in this past, the banking fees and banking fees, if there's any. So in the last quarter, we did have a particularly active quarter on M&A activity out of the corporate function. So it was just a very busy quarter, which drove up some of those expenses that we had not previously anticipated when we gave guidance after the third quarter.
Operator: . Our next question comes from Larry De Maria with William Blair.
Lawrence De Maria: Just a clarification on the aftermarket kind of returning to normal growth in FoodTech. Does that sort of imply more like mid-single-digit aftermarket growth and negative OE organic for 2020?
Brian Deck: Negative organic on the equipment, is that what you're saying? I'm sorry.
Lawrence De Maria: Yes, yes.
Brian Deck: Yes, certainly in the front half, you would see negative organic growth on the equipment and a little bit more aftermarket mix in the front half. I think as the back half goes, I think you'll have a stronger mix of the equipment and offsetting some of the benefit that we might otherwise see in the front half.
Lawrence De Maria: Okay. As it relates to the FoodTech orders, obviously, in recent quarters, you talked about pushouts, longer conversion time to convert to orders, et cetera. Is the market getting a little bit more normal? Are there closure times and conversion times getting shorter? And thus, your optimism on the first half order trajectory? Or are we still experiencing some of that uncertainty in the market?
Thomas Giacomini: Yes, Larry, I would say we certainly enjoyed a better closure rate in the fourth quarter, which was the translation of all these projects that we talk about in our pipeline becoming firm with the committed orders from our customers. And although we would still describe the market conditions not back to normal, our expectation is to get to our back half improvement in FoodTech is mild improvement in the markets but not anything getting back to normal. But I will say that even within some difficult markets, JBT continues to innovate on the product front, we have -- our selling activity continues to be more sharpened. And so even within some challenging market conditions, there are some things we can do to affect a better outcome that we're focused on. And as a company, we always try to get better. And we put those factors together, and that's how we came to the guide this year. I would tell you that we aren't in a position we're declaring the markets are back to normal or you'd see a much bigger ramp on those orders and our revenues than what we're currently guiding to.
Lawrence De Maria: Okay, understood. If I could just -- one more in here. Just to clarify your comments on AeroTech, are we taking that the idea to potentially, eventually spinning or monetizing AeroTech off the table? Or is that still a possibility, given the right circumstances?
Thomas Giacomini: Yes. Larry, as you know, we always -- at JBT, when we analyze our business, our portfolio, how we go to market, we always look through the eyes of the shareholder and the lens of value creation. And from our perspective, we will continue to evaluate. But I would also say that with the work we've done, that currently, we believe the best value creation as part of JBT, but we'll always continue to evaluate what makes sense and creates the most value for our shareholders and allows us to be the best partner to our customers.
Operator: There are no questions at this time. Mr. Tom Giacomini, I turn the call back over to you.
Thomas Giacomini: Our accelerated new product development efforts, investments in building our aftermarket franchise and strategic M&A program are better positioning JBT to be a more valuable solutions provider to our customers. Thank you again for joining us this morning.
Operator: This concludes today's conference call. You may now disconnect.